Operator: Good day. And welcome to the Exponent’s Second Quarter Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Joni Konstantelos with Investor Relations. Please go ahead.
Joni Konstantelos: Thank you. Good afternoon, ladies and gentlemen. Thank you for joining us on Exponent’s second quarter 2023 financial results conference call. Please note that this call will simultaneously webcast on the Investor Relations section of the company’s corporate website at www.exponent.com/investors. This conference call is the property of Exponent and any taping or other reproduction is expressly prohibited without prior written consent. Joining me on the call today are Dr. Catherine Corrigan, President and Chief Executive Officer; and Rich Schlenker, Executive Vice President and Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including, but not limited to, Exponent’s market opportunities and future financial results that involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Exponent’s periodic SEC filings, including those factors discussed under the caption Risk Factor in Exponent’s most recent Form 10-Q. The forward-looking statements and risks in this conference call are based on current expectations as of today and Exponent assumes no obligation to update or revise them, whether as a result of new developments or otherwise. And now I will turn the call over to Dr. Catherine Corrigan, Chief Executive Officer. Catherine?
Dr. Catherine Corrigan: Thank you, Joni, and thank you everyone for joining us today. I will start off by reviewing our second quarter 2023 business performance. Rich will then provide a more detailed review of our financial results and outlook and we will then open the call for questions. We delivered solid second quarter results, growing net revenues by 10% and expanding earnings per diluted share. We continue to demonstrate the strength of our diverse and ever evolving services portfolio, which anticipates and adapts to our client’s critical needs throughout their product life cycles. Growth in the quarter was driven by robust demand for our reactive offerings. The proactive side saw increased demand in the chemicals and life sciences sectors, offset by some moderation in the electronics sector. Overall, our strategic mix of capabilities across industries and the product life cycle performed well despite specific headwinds that I will discuss in a moment. Turning to our engagements in more detail. Within our reactive services, we saw strong increased demand for our disputes and litigation related work, with particular strength in the transportation, construction and consumer product sectors. On the automotive side, we are fielding more and more questions about the design and performance of advanced driver assistance and battery systems in accident scenarios, as these technologies become more complex and more prevalent in the fleet and the decisions made by artificial intelligence algorithms are challenged. We also saw increased product safety and recall related engagements as clients leveraged our expert insights to understand the root cause of issues with their products. The proactive side benefited from increased demand in the chemicals and life science sectors driven in large part by regulatory engagements. This was offset by some moderation in the electronics industry, associated with the timing of client product releases coupled with the disruption caused by the actions the industry has taken to reduce staff. These factors impacted data gathering activities and human subject research, as well as product development consulting, as products moved through their life cycles out of the development stage and into the refinement stage. While we expect these trends within electronics to persist over the next few quarters, we are optimistic about the longer term opportunities in this sector. We are well positioned given the increasing role of artificial intelligence in product innovation and performance. with our capabilities in curating data to drive AI algorithms, as well as our experience analyzing the physical consequences of AI driven decisions. Our diverse portfolio of proactive offerings positions us well to capitalize on the complexities associated with next-generation designs and increasing expectations around safety, health and the environment. Improved retention, as well as our accelerated recruiting efforts over the last year drove a 15% increase in headcount year-over-year, which reflects the strength of our employee value proposition. While these investments in our talent are critical for our future growth, we remain diligently focused on aligning our resources with the growth of the business and future opportunities. Rich will share some additional color on our expected headcount growth in a few moments. Turning to our segments. Exponent’s engineering and other scientific segment represented 83% of our net revenues in the second quarter, increasing 10% in the second quarter and 11% in the first half compared to the prior year. Growth in the quarter was driven by strong demand for Exponent services across the transportation and construction sectors. Exponent’s environmental and health segment represented 17% of the company’s net revenues in the second quarter. Net revenues in this segment increased 10% in the quarter and 4% in the first half compared to the prior year. Growth was driven by regulatory consulting around the impacts of chemicals on human health and the environment, as well as activity in the life sciences sector. As we move into the back half of the year, we remain focused on strengthening our client relationships, managing resources in line with the growth of the business and meeting the dynamic needs of our clients. Overall, I am pleased to see the power of our diverse portfolio, delivering solid growth through economic cycles as we address our client’s most complex challenges. I will now turn the call over to Rich to provide more detail on our second quarter results, as well as discuss our outlook for the third quarter and the full year 2023.
Rich Schlenker: Thank you, Catherine, and good afternoon, everyone. Let me start by saying all comparisons will be on a year-over-year basis unless otherwise noted. For the second quarter of 2023, total revenues increased 7.6% to $140.2 million and revenue before reimbursements or net revenues as I will refer to them from here on, increased 9.7% to $129.7 million as compared to the same period of 2022. Net income for the second quarter was $25.7 million or $0.50 per diluted share, as compared to $25.8 million or $0.49 per diluted share in the prior year period. The realized tax benefit associated with accounting for share-based awards was immaterial in the second quarters of 2023 and 2022. Exponent’s consolidated tax rate was 29% in the second quarter, as compared to 27.3% for the same period of 2022. EBITDA for the second quarter decreased less than 1% to $36.8 million, producing a margin of 28.4% of net revenues, as compared to $30 -- $31 -- $37.1 million, which was a margin of 31.4% in the same period of 2022. The year-over-year step down in margins was anticipated as expenses normalize post-pandemic. Billable hours in the second quarter were approximately 388,000, an increase of 4.4% year-over-year. The average technical full-time equivalent employees in the second quarter were 1,077, which is an increase of 15% as compared to one year ago. This exceeded our expectations as recruiting has been very successful and retention has improved. Utilization in the quarter was 69%, down from 77% in the same period of 2022. While we expected utilization to decline from the elevated level it was in the second quarter of last year, our higher than anticipated headcount resulted in lower utilization in the quarter. As Catherine mentioned, we are diligently focused on strategically balancing our resources with the growth of the business and our pursuit of future opportunities. The realized rate increase was approximately 5.3% for the second quarter as compared to the same period a year ago. The second -- in the second quarter, after adjusting for gains and losses in deferred compensation expense, compensation expense increased 12.6%. Included in total compensation expense is a deferred compensation gain of $4.1 million, as compared to a loss of $11.3 million in the same period of 2022. This is a $15.4 million swing. As a reminder, gains and losses in deferred compensation are offset in miscellaneous income and have no impact on the bottomline. Stock-based compensation expense in the second quarter was $5.2 million, as compared to $4.6 million in the prior year period. Other operating expenses in the second quarter were up 17.7% to $10.3 million, driven primarily by increased employee activity at our offices. Included in other operating expenses is depreciation and amortization expense of $2.2 million for the second quarter. G&A expenses were up 15.6% to $6.6 million for the second quarter. The increase in G&A expenses was primarily due to increased travel as employees return to in-person engagement with clients and professional development. Interest income increased to $1.6 million for the second quarter, driven by an increase in interest rates. Miscellaneous income, excluding the deferred compensation gain, was approximately $700,000 in the second quarter. During the quarter, capital expenditures were $5.4 million and we distributed $13.2 million to shareholders through dividend payments. We ended the second quarter with $148.2 million in cash and cash equivalents. Turning to our outlook. Our full year 2023 outlook is unchanged. For the third quarter 2023, as compared to one year prior, we expect revenues before reimbursements to grow in the high single to low double digits and EBITDA margin to be 27.5% to 28.5% of revenues before reimbursements. For the full year 2023 as compared to one year prior, we are maintaining our guidance and expect revenues before reimbursements to grow in the high single to low double digits and EBITDA margin to be 28% to 28.5% of revenues before reimbursements. As mentioned, we remain focused on strategically aligning our headcount with the growth of the business. These actions include reducing hiring and increasing performance management. As a result, in each of the next two quarters we expect technical full-time equivalent employees to decline sequentially 2% to 3%. Over the next quarter or two, our hiring will be surgical in nature to address areas of high utilization and strategic growth. We have also increased performance management, which will increase turnover. Performance management is ongoing in our firm as we evaluate each employee’s career trajectory towards determining if they are on a path to principle or if their career skills are better aligned with a career in industry, government or academia. Performance management tends to be less when resources are constrained and turnover is high such as in 2021 and 2022. We expect utilization in the third quarter to be 68% to 70%, as compared to 73% in the same quarter last year. Utilization in the third quarter will continue to be tempered by increased headcount, as well as seasonally higher vacation and holiday time during the summer months. Our expectations for full year utilization is 69% to 70%, as compared to 73.8% in 2022. We still believe our long-term target of sustained mid-70s utilization is achievable as we continue to strategically manage headcount and balance utilization based on market demand. We expect the 2023 year-over-year realized rate increase to be 4.75% to 5.5%. For the remaining quarters, we expect stock-based compensation to be $4.8 million to $5.2 million. For the full year 2023, we expect stock-based compensation to be $22 million to $22.8 million. For the third quarter, we expect other operating expenses to be $10.7 million to $11 million. For the full year, we expect other operating expenses to be $41.7 million to $42 million, as in-office activities continue to pick up. G&A expenses are increasing as post-pandemic travel increases for business and professional development. For the third quarter of 2023, we expect G&A expenses to be $7.3 million to $7.7 million. For the full year, we expect G&A expenses to be $26.7 million to $27.2 million. We expect interest income to be approximately $1.8 million per quarter for the remaining quarters of 2023. In addition, we expect miscellaneous income to be approximately $750,000 per quarter. For the remainder of 2023, we do not anticipate any additional tax benefit associated with share based awards. So the year-over-year tax benefit associated with share based awards will be $2.4 million, less than it was in 2022, which is $0.05 per diluted share impact to EPS. For 2023, we expect our tax rate, exclusive of the tax benefit for share based awards to be approximately 28.5%, as compared to 27.0% in 2022. For the third quarter of 2023, we expect our tax rate to be approximately 29%, as compared to 27% in the same quarter a year ago. For the full year 2023, the tax rate inclusive of the tax benefit for share based awards is expected to be 26.1%, as compared to 22.6% in 2022. In closing, our second quarter results continue to underscore the strength of our business model and financial position. As we look to the back half of the year, we remain positioned to continue our profitable growth. I will now turn the call back to Catherine for closing remarks.
Dr. Catherine Corrigan: Thank you, Rich. Exponent continues to advance science and engineering to empower our clients with solutions to their most critical challenges. We are uniquely positioned to advise them as they navigate the complexity of society’s increasing expectations around safety, health and the environment. Supported by the strength of our world-class team and our ever evolving services portfolio, we remain confident in our ability to drive profitability and shareholder value over the long-term. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Josh Chan from UBS. Please go ahead.
Josh Chan: Hi. Good afternoon, Catherine and Rich. Thanks for taking the questions.
Dr. Catherine Corrigan: Hi, Josh.
Josh Chan: Hi. Hello. I guess, I -- maybe I can start with the two-part question on demand. So, I guess, first on the reactive side, it seems like that business is growing above what it normally grows at and you -- Catherine, you brought out some points on what’s driving that. But I guess, do you feel like that above normal growth is sustainable going forward? And then secondly on the proactive side, it’s hard to tell whether that business maybe decelerated a little bit in Q2. It sounds like it might have, but it’s -- there’s a way you can kind of ballpark for us how broad-based the choppiness has been that would be really helpful?
Dr. Catherine Corrigan: Yeah. Thanks, Josh. So first on the reactive side. Look, I mean, we see the increasing complexity that is coming around products as a real driver of that reactive work. I did give the example around advanced driver assistance systems. As artificial intelligence is incorporated even more into products and making those decisions, it could be an automated vehicle, it could be a wearable device that’s giving signals about human health, it could be an AR or VR or mixed reality device that’s making decisions as well, whether that’s around employee training or various things. And so we are positioning ourselves at the forefront of those questions through our research and through the professional development of our teams. And so we don’t think this is necessarily a blip in our -- in the growth and our reactive work. We think that portfolio has very, very strong market drivers. That in addition to the opportunities for expansion internationally around disputes, changes in the landscape in the EU around product recalls and those frameworks and so we really are optimistic about the growth potential for that side of the portfolio. On the proactive side, we did talk about some of the moderation that’s happened. We have got strength in a number of areas, growth around the regulatory side and agricultural chemicals, for example, growth on the pharma side in life sciences, but the electronics industry, that is a place where there is some moderation and a couple of factors that are weighing into that. There was some disruption caused by the layoffs that impacted the flow of work in electronics, layoffs in the industry. This is groups that are having to reconfigure and stabilize. That takes a couple of quarters to sort of work its way through. We are seeing signs of that stabilizing, that workflow starting to come back through. But some of our -- like our data collection work, our human subject work, these are impacted in the near-term by the product life cycle. It’s where our clients are in that product life cycle. There can be a big push in the development phase and a big product launch and then that goes into the refinement phase and it can ebb and flow because of that. We see these clients also managing their budgets a little more tightly, which isn’t surprising. So we are seeing -- we are expecting that over the next couple of quarters. We saw it in Q2, and probably, we will see it over a couple more quarters. But long-term, this focus that society has on the quality of the data that’s driving and training AI algorithms and the quality of the decisions it’s making, and the competitive landscape in that industry. That all makes us feel good in the long-term about these kinds of offerings that we have, and of course, we will continue to evolve those offerings to really capture what we think is a good long-term opportunity.
Josh Chan: Thanks, Catherine. That’s really good color there. I appreciate that. And then, I guess, like, my second question on margins this quarter. Just conceptually, it seems like utilization ticked down from Q1 going to Q2, but somehow you were able to deliver stronger margins this quarter. So could you talk about what’s driving that kind of sequential margin improvement even though you didn’t have the utilization help there?
Rich Schlenker: Yes. So the margin improvement there is coming from the balance on the compensation line. So we do tend to have a higher compensation costs in the first quarter on a stock basis. So in the first quarter, that was about $7.5 million -- really about $7 million in the first quarter where you had about $5.2 million in stock-based compensation in the second quarter. And that’s all around the timing of when we issue our grants and the accounting for those that pushes through. In addition to that, a lot of our hiring has been very much at the entry level. So when you balance that with where the rates are on bill rates versus the change in the compensation area, you get the benefit of that also pushing through.
Josh Chan: Okay. Thanks. Thanks for that, Rich. And then, I guess, lastly, how are you seeing the impacts between revenue per billable hour growth and wage inflation? I think you gave some color on what you expect for revenue per billable hour for the year, but just wondering how you are thinking about that balance? Thank you.
Rich Schlenker: Yeah. So on a per consultant basis, what we have seen or a per dollar basis there we haven’t -- we have seen our rate increase on, even though we gave pretty substantial wages to our existing staff effective April 1 and all those wages were there and in place in the second quarter. That was blended down to basically a flat to 1% sort of rate increase that we saw across, because of the mix of employees that we had coming in. So the mix of employees that we had generated a flat to slightly up wage increase at the same time, that mix generated approximately 5.3% increase in the billing rates.
Josh Chan: Thanks. Thank you for that and thanks for your time.
Operator: The next question comes from Tobey Sommer from Truist. Please go ahead.
Tobey Sommer: Thanks. I wanted to follow-up on the sort of the broad headcount in revenue and expense growth. Are you comfortable with this amount of headcount growth and the near-term demand picture, so that you can continue to maintain a bottomline growth rate sort of in excess of your revenue growth?
Dr. Catherine Corrigan: Yeah. Thanks, Tobey. So, look, we are looking to slow that headcount growth. There are -- to make sure that we are aligning that with the near-term and longer term demand, and the opportunities that we are seeing. There are two -- really two prongs to that approach, right? I mean, we have got the recruiting side. So we have got a number of areas of the many areas in the business. In fact, most of them are growing and strong, right? And so we need to be recruiting in those areas and we are very focused on surgically recruiting strategically to make sure when our resources are constrained that we can meet the market and meet that demand. So, for example, the reactive side of the business and like that advanced driver assistance area, right? This is a place where we want to be recruiting to capture that. But the other side of managing that headcount and working to bring that down is through performance management, Rich mentioned a little bit about this. We are always looking for that best talent, right? That’s what we are all about. We have this rigorous process of acquiring them, a paradigm that puts them on a growth path from day one, but making it all the way to principal at Exponent as a consultant, it’s hard. It’s not for everyone. And so many employees can reach a point in their career where there are better opportunities for them elsewhere, right? And so we can counsel them about that and that’s what our performance management process is all about. So as Rich said, sequentially bringing that headcount down by 2% to 3% per quarter over the next couple of quarters is what we are doing in order to bring those two things back into balance again.
Tobey Sommer: I appreciate that. Could you speak to artificial intelligence and all its forms, and what you think it means internally for your company, how you engage with your customers, and ultimately, how it may impact demand for your services?
Dr. Catherine Corrigan: Yeah. Yeah. I mean, there are -- we are engaged and have been engaged sort of across the life cycle of artificial intelligence algorithm. So you start with the data that you feed into them in order to create them, right? The training data sets. It’s very important to make sure that those have the right diversity demographics, the curation of those data sets is an important part of that first step. We talked to clients about that. We talk about the sort of ontologies that are used and the cleaning of the data, because real world data are messy, right? We all know that, and Exponent has a history of being able to take real world data and gain insights from that because of our subject matter expertise, right? So the theme, Tobey, when we are talking to clients is really about this is where AI meets the law of physics, right? Exponent has a long history of applying their understanding of the laws of physics to understand the consequences of all kinds of different decisions and that design decisions for products, decisions around the management of assets for a utility, whatever the case may be. And so it’s that combination of the data you are using to drive the algorithm, the fit the laws of physics that you are applying to make it real and then the decision that is coming out the other end and we have opportunities at every stage of that process, because of the foundation we have laid in working around the product life cycle for many, many years. And so the key is where it needs the laws of physics, where it meets human behavior and our ability to cross industries with that -- with those assessments, I think, is an incredible value proposition that positions us really well to capture growth there.
Rich Schlenker: And so, as Catherine had said earlier, where we have already done this work and are gaining top recognition in the marketplace by key players over the last even year or two is in the automated vehicle or really actually in the ADAS systems, the subsystems within those vehicles, you don’t need to be fully autonomous to have a breaking decision or a steering decision or those other things. It’s been in the risk models and decision models that utilities out here on the West Coast are doing to make a decision about the resiliency of their system or particular lines in making a decision at what winds speed or what environment to make a decision and do that. And to have that happen real time as the weather is changing, as those inputs are coming in and have that model built in an engineering basis, so that you can rely upon those decisions you are doing or over into what we are seeing our clients develop in their health applications in wearable technologies where they want their customers to ultimately be able to rely upon the feedback coming from that wearable device to understand when they really need to seek medical attention and do such. And then, finally, as we are moving into the AR and VR area, clients who want to have a true real world experience and deal with the safety and reliability and quality of those experiences are wanting to make sure that they are utilizing curated data to have those experiences. So those are examples of what we have already done. I think the future is quite significant for us going forward.
Tobey Sommer: Thank. If I could sneak a last one in. Could you update us on the large contract exposure or opportunity should there not be kind of classically defined large contracts? And my question comes in the context of having observed all the news around legacy telco cables with lead, which at least bound in stock markets are assuming represents pretty significant liabilities and exposures for those firms?
Rich Schlenker: Yeah. I think, so we have not had a single project recently that is of that 4% to 5% of revenues. We have had collections of different areas, some of that in this data collection area that accumulate up near there, but not in a single engagement around it. But you are right, in the history, our history, a few of those projects that have achieved that 4% or 5% of revenues have been around health exposures and environmental contaminants. If you recall back in the mid-20-teens here, we had -- our work for BP related to the Deepwater Horizon fit in that and such. So issues, we have not -- we haven’t had a project of this size, but we have done a lot of work over the past two decades related to asbestos and talc and other exposures there. So we have some of the leading experts in environmental and health exposure, and the consequences of that and we will see where the -- this issue for industry goes.
Tobey Sommer: Thank you.
Operator: This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.